Operator: Good morning, and welcome to the Liberty Oilfield Services Fourth Quarter and Year-End 2020 Earnings Conference Call. All participants will be in listen-only mode. . After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. Some of our comments today may include forward-looking statements, reflecting the company's view about future prospects, revenues, expenses or profits. These matters involve risks and uncertainties that could cause actual results to differ materially from our forward-looking statements. These statements reflect the company's beliefs based on the current conditions that are subject to certain risks and uncertainties that are detailed in the company's earnings release and other public filings.
Chris Wright: Thanks Tom. Good morning, everyone, and thank you for joining us today to discuss our fourth quarter and full year 2020 operational and financial results. Wow. What a year for the world and our industry? I'm so proud of our team here at Liberty weathering the storm of COVID impact with tenacity and strength and ending the year with determination and resolve and building a better company. We successfully navigated these challenges with the unprecedented sacrifice and commitment of the Liberty family. We enter 2021 with excitement as Liberty will celebrate our 10th birthday as a company. While we're very proud of what we've achieved in our first 10 years, we're even more excited about what the amazing group of people that make up Liberty are going to achieve in the next 10 years. 2020 marked a transformative year in our short history. We started the year in a frac market that was already struggling with pricing due to an oversupply of equipment and reduced completion spending. We then rolled into the storm of worldwide COVID infections that led to a brief 25% drop in oil consumption by April 2020 and oil dropping into the $20 a barrel range. Liberty reacted quickly and changed our cost structure to meet the new market reality. We worked with E&P partners to plan a way through the crisis, to make sure that we reach the other side with the strength to take advantage of an inevitable rebound. Indeed by our signing a deal with Schlumberger to acquire their OneStim North America frac, completions wireline and Texas sand businesses in the summer of 2020, we are in a stronger position to capitalize on the nascent industry recovery. We've brought back frac fleets to work as our core customer partners restarted completions, and we ramped back up to 15.8 average active frac fleets in the fourth quarter. Most importantly, these fleets performed with a sterling safety record and we set a company-wide operational efficiency records in Q4.
Michael Stock: Good morning. We're pleased to finish the year on a positive note. Despite the immense challenges the team faced in 2020, a disciplined approach to managing the business was very effective. Frac activity improved meaningfully in the fourth quarter, and we were able to put more fleet to work faster than expected. Legacy OneStim business also saw significant improvement despite the inevitable disruption caused by the transition. We are so proud of persistence and dedication exhibited by our Legacy and new team members during the quarter. And we're excited to write the next chapter of our story as one united team. As we look forward, we believe we now have the right operations footprint in place for 2021. We currently plan on running approximately 30 deployed fleets in the first quarter and maintain those fleets during the year with some normal seasonal variation in the U.S. and Canadian markets impacting utilization in various causes. I will talk further about our 2021 outlook shortly. For the full year 2020, revenue declined 31% to $966 million from $2 billion in 2019. Net loss total $161 billion or $1.36 for fully diluted share. Full year adjusted EBITDA was $58 million compared to an adjusted EBITDA of $291 billion in 2019. Adjusted annualized EBITDA per fleet is $4.4 million compared to $12.8 million prior year. Our adjusted EBITDA reconciliation now excludes stock-based compensation to more closely correlate to other industry reporting. Our focus 2020 on managing capital expenditures was successful. We're happy to hit that target of positive cash flow on frac fleet operations during the last nine months of the year, that was severely impacted by the pandemic.
Ron Gusek: We are excited to bring together two premier frac service companies well positioned to lead a technology driven structural change in the industry, a change that is necessary from the viewpoint of our customers, suppliers, and investors. Our plan of execution is focused on three areas, culture and leadership, technology development, and operational excellence. Right now, we're at the early stages, understanding what we're calling our Liberty red and Liberty blue teams are doing and why? And how we can leverage the best from each of the organizations. First, we strengthened our leadership team to execute our vision with a combination of the red and blue heritage folks. These are the folks that will reinforce our culture of agility, idea generation, and empowerment, and drive collaboration across all our business lines to carry this business forward. Second, Liberty's history is rooted in the impactful utilization of real data and rigorous analysis. With our larger sale, we are now bolstering our knowledge base, representing a step change for innovation in the industry. We are creating a new technology leadership, to house all our innovation and engineering. This will accelerate the rate of development of our leading data driven engineering stimulation tools, leading-edge equipment design and technology development, innovation in ESG, and more. It is this collaborative model from start to finish. That is key in driving value creation, and the differential returns we've seen to our company's history. We were early movers in deploying dual-fuel capability, doing so in just our second year of business in 2013. We were in early field test partner for Tier IV DGB, and a strong advocate for this technology as a viable option for next generation fleets To meet reduced emissions initiatives. We continue to see strong demand for this solution, As we add this upgrade to much of our existing tier for capacity. To further emissions and operational cost reductions, we are finalizing the testing of our proprietary engine idle reduction system. We expect to begin deployments of this system across our fleet a little later this year. The next step in our journey down this road of reduced emissions and improved operating performance will be our electric fleet. With electricity generated using natural gas reciprocating engines, the Digifrac platform will provide solutions to the challenges identified in many of the current iterations of electric fleets. In 2021, our Digifrac fabrication, field testing and commercialization plans remain on track. We're working on integrating a fully electric process trailer, a combination blender and hydration, completing our power supply, design and assembling a power generation system. In parallel with this effort, we will be completing the development and deployment of a next generation control system with fully automated pump operation for deployment across all Liberty fleets. As part of this initiative, we will also integrate the pump down control into the wireline system and ultimately into frac operations, allowing seamless oversight of the two integral operations on location. Third, from an operational perspective, we now have a much expanded software and technology platform. This will drive value by augmenting planning, execution, and equipment diagnostics, with digital integration and automation. Our new larger organization takes greater coordination of all elements for managing our assets with the greatest efficiency to where we invest dollars for the right equipment and technology to how to best leverage our vertically integrated asset base and supplier partnerships. Our relentless desire to improve, means that all processes are under the microscope. Along those lines, we have had great success in providing customers with both frac and wireline services, and area we know our Legacy Liberty customers would greatly benefit from by streamlining our frack and wireline response site to shave extra minutes off the day, every minute equals efficiency and translates to a lower cost of producing a barrel of oil for our customer, and improved profitability for Liberty, the win-win, we strive for. It has been an incredible start, spending time with our red and blue teams across all of our basins. The eagerness and excitement from our teams is humbling. As we move forward, we'll come back to the street with the progress we've made. With that, I will hand the call back to Chris for closing remarks before we take your questions.
Chris Wright: Thanks, Ron. The future for frac services is leveraging scale for innovation, with more data and technology, and empowering talented individuals to interpret and apply the analysis of this information to ultimately drive down the cost of producing hydrocarbons in the safest and most responsible way. As we enter our 10th year in operation, we are excited to lead a technology driven structural change in the industry. We are uniquely focused on extracting significant value from our acquisition by bringing together two of the leading technology centric service businesses in our industry, supplemented by an ongoing technology partnership between Liberty and Schlumberger. Early response to Liberty's acquisition of OneStim has been positive, as customers are finding value in our technology leadership, invention and creativity takes center stage in our industry. Liberty remains committed to the next decade of innovation as we were in our first decade as a company. We look forward to your questions. I'll turn it back to operator for questions now.
Operator: We will now begin the question and answer session.  The first question comes from Chris Voie with Wells Fargo. Please go ahead.
Chris Voie: Thanks. Good morning.
Chris Wright: Good morning, Chris.
Chris Voie: I guess, first we'll start off with a kind of high level question. And we've heard the refrain, no fleets without pricing. I think since kind of like the middle of last year, in practice, we've seen a lot of fleets coming to market at very low pricing thus far. So are there any factors that will be different going forward from this point in time compared to what we saw in the third and fourth quarter for the industry?
Chris Wright: Well, Chris, I don't think you've heard that refrain from us. Our goal when the pandemic hit was to work with our partners to keep our relationships strong, and to get through the downturn, the oil price disruption together with our partners. So we made adjustments on the down -- on the downturn, to keep the economics to work for both sides. And then we've continued. And then with an agreement to ramp things back up in a schedule that's actually been not much different than what we discussed and learn with our customers in April.  To us, things have gone on plan. There's been no change. The key at the start is preserved the relationships, restart safe and efficient operations. And as we mentioned, we had efficiency records in Q4, likely also for safety. And now we've seen an oil price recovery. And now we will see price recovery in our frac services as well. So for us things have gone as planned on track.
Chris Voie: Okay. That's helpful. Thank you. And then maybe to follow up on the pricing discussions. Just curious if you can help us quantify how meaningful that might be. And maybe translate it into how we should model gross profit per fleet or EBITDA per fleet going forward? Do you see any of these as kind of in the bag thus far? Or is it going to be more of a slog, as you get through the first half of the year?
Chris Wright: We have a good number of agreed price raises already. Not starting tomorrow, but we have start dates or pad dates where these things will come in. And again, it's just always been a partnership dialogue with us. We move down. We held for a while. And now we're bringing pricing back up. But there -- we have a good number of agreements already in place. And we expect over the next few months to have a good number of additional ones. I'm going to refrain from commenting on magnitudes and movements on gross profit. I don't know if Michael wants to add anything to there. But we got to let this play out as it as it goes. But we feel pretty good about where we sit right now.
Chris Voie: Great. Thank you very much.
Michael Stock: Yes. Chris, on the pricing side, I think you'll probably start to see them slowly roll in from Q2 onwards after that. But this is again, these are sort of like -- these were -- discussions we had as the crisis has headed to Q2 of last year. And as we say, we moved those pricings up with those clients in a planned fashion as we roll through the year. So I think for me unless we go through the year.
Chris Voie: Great. Thank you.
Chris Wright: Thanks, Chris.
Operator: The next question comes from Scott Gruber with Citigroup. Please go ahead.
Scott Gruber: Yes, good morning.
Chris Wright: Good morning, Scott.
Scott Gruber: I want to say on the pricing question, but ask a question related to incremental crews. Chris, you talked about the anticipated pricing on active crews? Is the magnitude of that price increase sufficient to add incremental crews into the market? Or would you want to see something bigger, to more of a step change in profitability before adding incremental crews?
Chris Wright: Yes. Scott, I would say, yes. It's something additional to the agreements we have in place now. We have in placed now the kind of partnership things we need to keep our customers generating strong returns, and the returns on Liberty's invested capital to come back as well. So those have been very constructive dialogues. And as I said, a number of agreements are completed. But yes, I think for us to stand up and hire new people and deploy another crew, that's a bar higher than what we're talking about so far.
Scott Gruber: That's good to hear. And then maybe just a little bit of color on 1Q EBITDA. Now that you'll have the OneStim fleets in the fold. And now that you've closed the deal, how do you think about the timing to liberalize those crews and close the margin gap between the two sides of the business?
Chris Wright: I'll let Michael or Ron comment on that.
Michael Stock: Yes. So, Scott, I mean, I think what you're going to see is you're going to see a slow ramp up. What we calling lively blue crews is very efficient. But this has been a nice surprise. With getting it fixed cost leverage, so officially, once you get past Q1, I mean, there's a lot of transitions to the noise and costs as far as till we transition on ERP systems and everything else we get to actual efficiency on the overhead side. So there's a lot of work going on in the Q1 side for that. I think you'll start to really see that drop through to the bottom line from Q2 onwards. And then, we'll start seeing sort of more integration and sort of like that efficiency gap, any efficiency gap closing. But the key things there is maybe not so much pumping on the day when they're on site, which is they're very impressive crews. Really a lot of it's around coordination and scheduling and reducing white space which is one of the prices that Liberty sales and operations team have excelled.
Scott Gruber: Is the goal to close the gap in by the end of the year? Is that possible?
Michael Stock: Correct? Yes. They will we. I think every customer, every fleet, every sort of every country, every basin has a little bit of a different flavor. But yes, we would expect by the end of the year to have -- you shouldn't see a great deal. You generally don't see any difference. But whatever crew we're rolling out. It's going to be Liberty and Liberty all the time.
Scott Gruber: Good to hear. Appreciate the color. Thank you.
Operator: The next question comes from Stephen Gengaro with Stifel. Please go ahead.
Stephen Gengaro: Thanks. Good morning, everybody. Two things if you don't mind. One, just to kind of continue on that topic. I was just -- I was trying to understand when you're looking at the fourth quarter, you mentioned record sand volumes pumps, I would assume that means pretty high efficiency. Are we looking at a pricing dynamic earlier in the year that's very similar to the fourth quarter? And is there any kind of efficiency gains that we could see earlier in the year, which would lift that EBITDA per fleet?
Chris Wright: Well, we did indeed have record sand throughput on our fleets, record efficiency across the Liberty fleet in Q4. And again, look, we'd love to see more margins then, but we know that's coming. For us, the key thing is the partnership with customers deliver safe operations and keep driving exclusively higher. There's always room to get better. But yes, it was a pretty high bar in Q4. I'll let Michael talked about. There's probably incremental improvements in efficiency going into Q1. That's ambitious, but we'll probably achieve that. But I think just the fixed costs leveraged over a larger platform is also helpful. Michael, anything you want to add?
Michael Stock: Yes. Steven, I think what you'll see is the drain  fleet pumped very efficiently in Q4. We didn't see that -- as much of that Q4 drop off as we will, because they were just starting to ramp up, sort of ramp up completions. So we should see that efficiency probably flatten, I would say, into Q1. As we see a little change over the calendars in the white space. So I would say, you probably won't see a lot of efficiency gains out of the combined operations in Q1, right? Then you'll start to see things change as we go through there. One of the things that you'll see we'll leverage fixed costs, I think what we're going to be able to do as we go through the year in the next year, stick to a fairly significant leverage down on our end costs and some of those cost per fleet that we're looking at there, along with the technology innovations that Ron seems sort of running through the model that we're combining. So the best parts of what the start, once the team have been doing and what they start to what we've been doing. I think we're going to see some pretty significant help there to the bottom line on both -- on that side of it. Also the automation that Ron's doing, they'll talk about, later on, because you'll see more of them, we will chat about that in May, but really reducing the number of hits on site being at a new automated pump, the reduction in fuel costs for the automatic idle, there's a lot of efficiencies that are coming. I really don't think you'll see a great deal of them in Q1 as we go through. We just got -- everybody's running at 9000 miles an hour at the moment. And you'll start to see those fall through as we go through the great.
Stephen Gengaro: Great. Now that's helpful. Thank you. And then the other one was on the on a Digifracs. And can you share with us sort of your thoughts on how the model ultimately works? And what I'm thinking about is, like who owns the turbines? Is it you long term? And do you think customers will pay for a sufficient returns on that capital? Or do you think there's another ownership structure of turbines down the road?
Chris Wright: Ron, you want to take that?
Ron Gusek:
.:
Stephen Gengaro: Great.
Michael Stock: I have a comment on the kind of the ownership model question, Stephen. I think you've probably heard us talk before. It is tough to think about their ownership model being separated out, right? The reality is, it's like the grid or any other piece of equipment that you own, but you got to get utilization to pay back that equipment. Now, we are obviously sort of like, it was the same way we are the same. We are second largest swap company. In the country, we are going to have the ability to own our power generation, and keep it running 100% of the time to being on what -- no matter what customers working with. These customers have downtime, right? They have issues that go wrong with pads. They have changes. You'll see acquisitions with where people have sort of like short term slowdowns, et cetera. Now, we can move that equipment around. We use that for actually to move that. I can generate a return on that capital investment has continued. Right? So if you're trying to think of people trying to pitch this on the secondary ownership kind of rental, that's the only way you can do that is if you've got significant other uses for that power that you have a larger per fleet. You think a breakout of their fleet they do of some of the power generation, small power generation? And then your accessing across a lot of different business lines, and maybe a lot of different industries. But that's the only way. But you still -- but we can guarantee that continuation work, which means we're going to ultimately end up with the lowest cost of ownership for that power generation. So I don't think it really makes any sense doing it any other way.
Stephen Gengaro: Okay, great. I appreciate the color, gentlemen. Thank you.
Chris Wright: Thanks, Stephen.
Operator: The next question comes from Sean Meakim with JPMorgan. Please go ahead.
Sean Meakim: Thank you. Good morning.
Chris Wright: Good morning, Sean.
Sean Meakim: So Chris, there's been a lot of talk about old equipment getting cut up. That's to your benefit as having a young fleet. And your contribution now is coming through this OneStim transaction. But across the industry, most of what's been cut up hasn't worked in a while. It seems like there's potentially an emerging bifurcation in the active market. Things are pretty sold out as far as e-frac and dual-fuel utilization across the industry. And so, in those -- that part of the market, we're seeing some capacity creep back in various ways. Maybe some piloting some new e-fleets, upgrading some Tier IV fleets to dual-fuel. So I'm trying to get a better sense of your perspective around potential bifurcation in the active market, between Legacy fleets, and next gen fleets. And then on balance, how should we think about a lot of nameplate capacity is going away. But in the active market, we are still kind of letting some more horsepower creep in. I would love to hear your thoughts on those two emerging trends?
Chris Wright: Yes, Sean. I would agree that the market is becoming bifurcated. Through a gradual process that's been going on for a while. As you know, Liberty was very early on second year in business building dual-fuel fleets. So we probably had several years, maybe even slightly frustrated, we had a lot of dual-fuel capacity. But it was an effort to get customers to engage and use it. That mentality among customers has changed dramatically that now I think everyone realizes, wow, lower emissions and lower costs. That makes sense. So there's a little bit of extra logistics that need to be done. And we won't get into that today. But yes. So dual-fuel is becoming a more common thing that people want. Tier IV, for certainly people at the highest bar want Tier IV equipment. That's you can't upgrade an old Tier II engine to Tier IV. You can upgrade an old Tier II engine to Tier II dual-fuel, which is a great step in the right direction. But for Tier IV equipment, it's got to be it's got to be Tier IV horsepower that was built that way. So it's going that way. And I would say, look, it's the bigger stronger players that are -- that that fleets are migrating towards more upgraded fleets. And then there's a lot of legacy horsepower and legacy players out there that are just less active in that space and not doing so much. So I think as with the transformation to high spec rigs, it will take some time, but it's definitely going on. And no one's building old legacy equipment and people are again, not maintaining all of it. They've combined -- they had 10 fleets and they put them into seven fleets and they're removing parts. And if they stop investing, maybe there'll be at six fleets little bit later. So we see capacity shrinkage around the marketplace. There's still like huge amount of traditional Tier II diesel fuel fleets running. So they're not gone. They're just -- there's just that equipment basis shrinking and the percent of the market they are is shrinking as well. But I think right sizing the market takes some time. But the last 12 months have been particularly productive, particularly productive. And I suspect we'll see quite productive this year as well. We'll end this year with meaningfully less deployable capacity for frac fleets, just because there won't be the investment levels to maintain the existing capacity. At the end of this year, we'll have less available fleets to frac and more fleet fracing. So I think that that progression is happening.
Sean Meakim: Yes. I think that's fair. I appreciate that context. To touch on capital efficiency for a second, you're only about a month of looking under the hood. But I imagine your guys have been busy. So you cited in the prepared comments, a $1 million per fleet of maintenance capital savings from rationalizing the excess horsepower from OneStim. So if we're running 30 fleets, $30 million a year, do you have a sense of how many years that can run? Or what kind of an update on the aggregate savings versus the initial shot in the dark, the provide us late in 2020?
Michael Stock: To answer that Sean, I think the shop in the dark still had best estimate at the moment. We're already adjusted -- there's a lot of equipment out there. But yes, I would follow this bell curve, right? This probably going take most of the first half of this year to sort of come up with a plan. We got the efficiency plan and how we're going to do this. The majority of the savings will come next year on the capital side, and then some of it will slide into 2023. So think of it as a bell curve there. I roughly like together in a plan, I said, if your half is going to come next year, maybe a quarter of the second half of this year and a quarter of it in 2023. Maybe it'll -- it may drag out a little bit further into 2023 as well. But yes, I was still in that general -- that first shop in the dark that we had. So again, plus or minus $75 billion, we think it will really help us on that.
Sean Meakim: That's a good framework, Michael. Yes. Thanks, guys. I appreciate it.
Chris Wright: Thanks, Sean.
Operator: The next question comes from Ian MacPherson with Siemens. Please go ahead.
Ian MacPherson: Thanks. Good morning team. Michael, does your CapEx envelope for this year include maybe at the high end or otherwise it include the completion of the first Digifrac fleet and its totality? Or if you were standing up that fleet in the second half, would that be incremental, sort of new bill CapEx that could be above and beyond that?
Michael Stock: Yes. The topic does include it. Ian. Yes, that would be the building of the first is frankly.
Ian MacPherson: Good. Okay. I understand the reticence with more sort of visit specific guidance than what you've already given. But you said, a ambition would be to stay pre cash flow positive for this year. And we can certainly work backwards from your CapEx guidance, and we know what interest looks like. Do you do have any -- could you point us towards anything with respect to cash taxes or working capital harvest or bill for this year that might help us to refine our EBITDA estimates for this year?
Michael Stock: You know, I'd say, its pretty little, very little cash taxes be and say, probably want to move the needle on the cash side of it. And working capital will be a slight build, but not huge. This once in business came with some working capital that we -- as part of the deal to negotiate a deal. So there'll be a slight build. And that will depend on really on how the second half will drive. As we stay in this kind of flat environment, macro economics doesn't improve, fleet economics don't improve, you'll be a relatively flat working capital area. I think we're going to do -- we'll make some wins on inventory that will offset some of the AR that will increase. If we see some -- we see really price to improve decently and we see a little more speedier adoption. You might see a bit of a working capital build, but then you will see an earnings built at the same time.
Ian MacPherson: Right. Understood. Great. My other questions were answered. So appreciate it. I'll pass it over.
Operator: The next question comes from James West with Evercore ISI. Please go ahead.
James West: Hey. Good morning, gentlemen.
Chris Wright: Good morning, James.
James West: Chris, with Brent, at 60 and WTI in the high 50s, certainly higher than I think most budgets were set for your customers. Is there any talk at all of them kind of investing more this year? I mean, it looks to us like they're not invested enough to really even hold production flat at this rate. But are they starting to what they've announced kind of reinvestment rates of 70 to 80%? So, is that a signal that perhaps we could see a little bit better CapEx and perhaps we thought of a month or two ago?
Chris Wright: You know, I don't think so James. I've regular dialogues with our customers. Among the public's, I don't think we will see any change in plans. I think the message has been received. I think people realize, wow, we've had this awesome shale revolution and none of the value accrued to the operators. And so, no, I think that -- I certainly for this year, and I don't think it fades much in the coming years either. But no, I don't think we'll see any change in the development plans that the public's have laid out whatever oil prices do, unless they went really low, you would see a reining back in. But we're not going to see new additional CapEx from the public's. Certainly on the private side, it's a little bit different. Their oil prices and current economics impact decision making. So there's a little more movements in plans for the privates, but even there, capital availability is not great. Nobody wants to stress a balance sheet. So, as cash flow flows up, I think you'll see a little more CapEx from the private, something we're already seeing a bit of that, but not a huge. I still think sort of though -- I agree with you, current activity levels for the public sort of imply a little bit of a decline in production through the year. But boy efficiency in some upgrades. I don't know. If I was a betting man, I still suspect the exit rate production this December will be pretty similar to what December production was, like closing 2020 out. Could be oil prices. Yes, it'll be flattish this year. I think that's a -- I don't think we'll be far off that.
James West: Okay. Fair enough. And then, with respect to the Schlumberger technology portfolio that you now have acquired. Are there certain technologies that stood out to you? I mean, you've had a month owning the assets in the IP, which obviously took a look under the hood, as you do a diligence. Are there certain technologies in that portfolio that are incremental to what you guys already had? And could you ramp your own efficiencies even further?
Chris Wright: Yes, James. I think there is. And even just on business processes, the more we look under the hood, it's like, wow, that's pretty cool. But we've been cautious in saying too much about them, because we've got to digest understand that we're planning to do I think Investor Day in May or something where we'll have a longer presentation. We'll give a little more color into the technologies across from operations, to business processes, to ESG. We'll give a little more color or feel then yet. But yes, the surprises have been on the positive side as far as the technologies and the humans. One of the appeals to us of Schlumberger was that low turnover, long tenured, higher caliber professionals in the company and we haven't been disappointed. We're quite enthusiastic about it.
James West: Okay, great. Thanks, Chris.
Chris Wright: Thanks, James. Take care.
Operator: The next question comes from George O'Leary with Tudor Pickering. Holt. Please go ahead.
George O'Leary: Good morning guys.
Chris Wright: Good morning, George.
Michael Stock: We'll move towards next goals.
George O'Leary: Thank you. Assuming your pricing were flat for here. Let's just assume and I know, you mentioned there's -- sounds like there's some increases and that come from some of your customers or partners in the field. But assuming pricing were flat from here and given the 30 fleets do you guys anticipate running in the first quarter, just directionally not asking you to quantify magnitude. But would fleet profitability again excluding pricing increases, excluding any noise associated with OneStim transaction. Would fleet profitability better quarter-over-quarter. And the first quarter from either a gross profit or an annualized EBITDA level, just given the increased scale. How would you frame that? We've touched on it a little bit, but just looking for any incremental color you can provide.
Michael Stock: Yes, George. We get significant fixed costs leverage, right? Our G&A really isn't going to go up regionally at all, really not that much. I think about the G&As that we added, with this deal we've really emphasized, right? We've got --so you'll get a lot of fixed costs there which really give a lot of -- we saw the G&A front, we can get some of the district fixed out there is because obviously, we're doubling the size of our Permian business, right? And really not adding -- you don't add the same amount of overhead. When it comes to that, which I think is also very, very good. We've got to be obviously over on supply chain team, it'll be by twice amount, twice the amount of staff and that's going to help with working with suppliers. I think that's a key thing. But yes, as we get more and more into these, we sort of dig further into it, we will do actually see that. We'll also get a little bit of utilization with the calendar, right over the G&A and sort of the logic in different areas, and means that you're always going to have gaps, we're going to have fleets moving around. And as we work through the year with the integration of these two fleets, which are going to be larger, you're going to be able to shuffle the fleets. So you have less white space. So yes, there's a lot of incremental benefits that come with that. And then, I think a lot of the processes and procedures as we sort of be able to get more efficient as we go. I think wireline business is a great complementary business. I think, again, that's a unique Frac part on the down flow. And it's a significant probably the largest portion of our third party down time. Going to talk more to that, but we could shave, you can shave minutes off day, there's more ready, that you're going to bring. You're going to bring to the table with better understanding we have we pumped down. We're going -- we're still -- we're only the largest, probably the largest or second largest buyer of said in the country, by far, now we have two Texas mines to help us balance some of that as well. So all these things that are going to come together that help, even without any pricing or any increase in fleet. So, we will see improvements as we go through the year.
George O'Leary: Okay. It's very helpful, Mike. And then just from that tendering perspective, you mentioned in the back half, it seems like some privates mad. At least best we can tell. activity was up in December. Activities up month-over-month in January. On the completion side, you can clearly see drilling rig count continues to grind higher. Clearly some pricing discipline on your part and not activating incremental spreads. But just from a geographic perspective and a tendering perspective, where are you seeing the lion's share of the shots on goal is that Permian activity increases or is it -- you're seeing some activity increases, potentially in the Haynesville. Where are people looking to add as we progress through the year?
Chris Wright: You know, the Permian certainly the biggest pond. So yes. There's you know, probably -- that's certainly the biggest place you'll see extra activity levels. That Haynesville, the upside of the Haynesville was it never -- it didn't drop nearly as much. So the Haynesville stayed reasonably strong throughout the year. It's definitely geographically advantage for LNG exports. And as we see those we'll set a new record this year, beating last year's record, they're up. But not a huge increase in activity there. The awesome thing about shale gas is we can produce a lot of it. So no, I don't think we're going to see wild swings there. I would say that the flexibility and activity is going to be more in the -- is more in the oil basins.
Michael Stock: Just to add some color there to Chris, comments, if you have one second. I think interesting enough, Liberty is always been sold out right? So we've had basins where customers have approached us over the years and said hey, we'd really like you to bring your efficiency, engineering technology into the technology focus to our basin, to our country, et cetera. What was done with this OneStim deal. Wright expand that geographic base revenue. We started in the Haynesville. Now we've got a large regency. We're doing in the Mid-Con. We have firth operations in the northeast. We have operations in the Canada. People who've been approached us for years to come help, do some work within the model  and do in Canada. Now we've got a base here that we can like do that, especially once COVID gets over a little bit, we can actually get people across the border. But you're going to see some things there, I think, George where you're going to see some sort of like, potential once pricing comes back, the additional market for us we had to take just by taking the Liberty of what they're sort of like Liberty special source that people have wanted, and having access to in different basins.
George O'Leary: Thanks, Michael. Thanks, Chris.
Chris Wright: Thank you, George.
Operator: The next question comes from Connor Lynagh with Morgan Stanley. Please go ahead.
Connor Lynagh: Yes, thanks. I appreciate you guys squeezing me and I'll keep it brief. Since we're at the top of the hour here. Just at a high level framework, obviously, you've added pressure pumping, but there's the affiliated businesses, Michael, you're referencing wireline. There's the sand mines as well. I would imagine the incremental earnings contribution at today's pricing is pretty minimal. But could you give us sort of a framework to think about relative to say, 2019 on a per fleet basis, or however you want to frame it? How much can you add to your EBITDA per fleet or your earnings power both from the just having incremental assets working, but then also the efficiency gains that you were talking about? I appreciate it, you might not be able to get super specific on the efficiency side, but would just love any thoughts on how we should think about that?
Ron Gusek: Yes. Connor, it's really hard to come in at this point. Just a little bit too early. I think probably by -- I probably like to say that for the next year in school, I think, ideally, we will get some. But I think being able to give those specifics would be better off down sort of once we've got a quarter under our belt, we can really see it. Its going to mean that, this is all accounted for under Schlumberger. And a lot of that historical, the cost structure, they're still sort of becoming clear. So let's put that off for a little bit. Not too much additional year at the moment, but it will be positive.
Connor Lynagh: All right, fair. Just one last quick question on a related win then. The efficiency gains that you're talking about on wireline that being a big portion of downtime. Can you maybe help us think through how much of an uplift? How big of an outage is that on your quote, average pad? And then if you guys were able to get to where you think is reasonable, how significant would that be?
Michael Stock: So, over our past two, three, of course, we've tracked this for since the beginning of our time. The averages today about six minutes per frac stage that we work on across our entire fleet. So, if you start to roll that up, obviously, that varies a little bit by basin in terms of number of stages that we bump. But if you think about it from that standpoint at a high level, that will give you some sense of what kind of time we might be able to add over the course of a year.
Connor Lynagh: Alright. Got it. I'll leave it there. Thank you.
Chris Wright: Thanks, Conner.
Operator: The next question comes from John Daniel with Daniel Energy Partners. Please go ahead.
John Daniel: Hi, guys. Good morning. I just have really one question to follow on to Sean's question. But looking for a wild ask guess on your part, Chris. But as you look at your customers, we're just called the E&P industry. What percent of them actually care about lower emissions? And what percent of them are actually willing to pay for lower emissions?
Chris Wright: That's a great question. Look, I would say, and one thing I think and John, I know, you know this. But one thing I would say that's misunderstood about our industry. The industry is dominantly people from rural areas that have lived on the land. I mean, I would say the concern for the environment has always been there in our industry. You're right, but where are the incentives? Where is the drive for that behavior? And it's definitely hampered right now in that the marketplace is so tough. E&P companies are hated by investors. And that gets -- that definitely does swing a needle on cost above all else. So the bigger players and a few of the I would say embrace players are willing to pay for it. But there it's still a small percent. Everyone else wants it. But in today's world, they're more reluctant to make any meaningful trade off for the cost of it. And so that's -- and we're sort of in the same boat too, right? We want to do -- we want to upgrade. I'd love to have all the leading edge fleets. But that's a lot of money. And so, that's why I say this, things are trending the right direction. But it's not an overnight thing. So John, I don't have an estimate any better than yours. But you make a very good point. Everyone talks the talk. And it's still a small minority today that'll pay for it.
John Daniel: How would you characterize just the transition, Chris? I mean, we're eventually going to get there, right? Eventually then you have to pay for it. And it's the right thing to do. But is there a step change later this year, next year? I mean, just -- I know, we have no idea. But just your thoughts?
Chris Wright: You know, John, I think it's so driven by oil prices and returns. And I think that a lot of people say to me, boy, with customers with this discipline on investment, that must be really tough for you guys, they're spending less. My view on that is exactly the opposite. The fact that oil prices have risen 25%, since people set their budgets, and nobody in the public world, and even in the private world isn't dramatic, that people don't want to change their budgets. We think that's a great thing, right? Because if people invest less, and truly hold back, that's the thing that moves the needle on oil prices. And you move oil prices to where they are today, and you take efficient operations, we're going to see strong returns on capital by our customers. We're going to see some respect and belief in our industry coming back from those returns. And that enables everything else, everything else. Look, that what's we're having right now. First, no one wants higher prices. But we need a sustainable industry. We need partnerships that can keep getting better. And more price to us is necessary for that. A, just to get return on our existing assets. We need a little more price on top of that to invest in new assets. But I actually think, again, and you've heard me say. You know, look, we've had a rough decade, I think the next several years for industry are actually going to be pretty good. I think it's supported by commodity prices that base. But I think that's going to lead to better returns across the value chain. And once you have better returns, the investment, the payment for lower emissions and better operations that follows with it. So yes, I think we'll see a very different attitude for paying for lower emissions 12 months from now than we've seen the last 12 months. I couldn't be wrong. That's my belief, John.
Ron Gusek: John, well, my editorial comment is, the technology seems to be here of making meaningful changes. So hopefully, we'll see a rapid adoption. And by the way, great video on Northwest cost lift up the industry.
Chris Wright: Thanks, john. I appreciate that.
John Daniel: Okay.
Chris Wright: Take care.
Operator: The next question comes from Tom Curran with B Riley Securities. Please go ahead.
Tom Curran: Good morning. That's dedication, guys. Thanks for still taking my question at such a late point in the call. I just had one technology question left. Curious, Chris or Ron, whether you currently provide your customers with any ability to track and monitor in real time and image, all the fluids involved in the frac slurry down hole. So in other words, as the frac job is being executed, you provide that ability to imaging monitor the different fluids subsurface? And if so, is it an ability you currently in-house? Or do use a third party for that?
Chris Wright: Tom, that is an interesting question. And as you probably know, Michael, Ron, and I and a number of others at Liberty team spent the largest piece of our career developing fracture diagnostics, ways to measure how fractures grow and what they're doing. We have some of those technologies in-house. Well watch is one we've talked about a lot, that give us indirect measurements about how far away from wellbores fluids are going. We've been looking at fracture diagnostic technologies, but it is not a standard. We run frac models so we obviously in real time we're transmitting to our customers from satellite dishes, our model predictions of where we think fractures are growing and where the sand is, where the fluid is. So we do it on a predictive basis. We have some big picture far-field pressure measurements to infer that. But certainly, there's more that could be done there. And with the right technologies and the right value proposition I think you may see more of that from Liberty in the future.
Tom Curran: And just to be clear, Chris, you would expect to provide that in-house. And then just as a follow up. What percentage of your jobs currently would you estimate involve some use of it?
Chris Wright: Well, the modeling, essentially all of them. Well watch the adoption of that is pretty rapid. So that is -- that's ramping up at a good clip. It's still not half jobs. But that's ramping up pretty quickly. And then microseismic that we developed 20 years ago until we do have some of those on jobs. That's third party. But you know, it's a -- that's a small percent.
Tom Curran: Great. Thank you. I'll let you go before you lose your voice.
Chris Wright: Thanks, Tom. Yes. I don't want to take ruin everyone's up Friday morning. But we appreciate everyone's interest.
Operator: This concludes our question and answer session. I would now like to turn the conference back over to Chris Wright for any closing remarks.
Chris Wright: Thanks, everyone for your time today. I apologize as running over the one hour. We had expanded opening remarks due to the nature of the transaction we completed with Schlumberger. But thank you all for your time and interest in Liberty. And frankly, for your interest in this industry. Imagine if COVID had struck a world not energized by oil and gas, we wouldn't have vaccines now. We wouldn't have the ability to ramp up PP&E and to communicate and send resources all around the world. So the world got hit a big blow. But thank God we had an oil and gas energized world to respond quickly. And we look forward to tremendous progress continuing on that this year. And we look forward to talking to you after the first quarter. Have a great day everyone.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.